Operator: Good day ladies and gentlemen and welcome the First Quarter 2008 Olin Corporation Earnings Conference Call. My name is Sequana and I will be your coordinator for today. At this time all participants are in a listen-only mode. We will facilitate a question and answer session towards the end of this conference (Operator Instructions). I would now like to turn the presentation over to your host for today’s call Mr. Joseph Rupp, Chairman, President and CEO of Olin Corporation. Please proceed sir.
Joseph Rupp: Good morning and thank you for joining us today. With me this morning are John Fischer, Vice President and Chief Financial Officer, John McIntosh, Vice President and President of our Chlor Alkali Products business and Larry Kromidas our Assistant Treasurer and Director of Investor Relations. Last night we announced the first quarter 2008 earnings per share were $0.50, which more than doubled our first quarter 2007 earnings. We have benefited from significant contributions from the Pioneer businesses we acquired of last year; including realized synergies, record first quarter results from our Winchester business and a significant reduction in our legacy pension expenses. Net income in the third quarter -- in the quarter was $37.3 million compared to income from continuing operation of $16.6 million in the first quarter of 2007. First quarter 2008 sales were $399.1 million, compared to $255.5 million in the first quarter of 2007. Chlor Alkali earnings improved 55% compared with the first quarter of 2007, which reflects the contributions and synergies from the Pioneer acquisition and improved pricing. Both the benefits from Pioneer and the pricing improvement allowed the business to overcome significant challenges in the quarter, including an operating rate of 82%. ECU netbacks were $580 during the quarter compared to $500 during the first quarter of 2007. Winchester's record first quarter pretax earnings of $10 million reflect the combination of improved volumes and pricing. During the quarter we experienced a number of unplanned outages at our Chlor Alkali facilities that negatively impacted our ability to optimize our operations and increased our operating cost by approximately $2 million. These outages were primarily cost by a series of weather events in the Eastern United States and Canada disrupted in electricity supplies and prevented the movement of railcars in Canada. In the second quarter of 2008 Olin expects earnings to be in the $0.45 to $0.50 per diluted share range. Chlor Alkali earnings were expected to improve slightly compared to the first quarter due to increased chlorine volumes and improved operating rates. ECU netbacks were expected to decrease slightly compared to the first quarter as weaker chlorine prices and higher freight costs are expected to more that offset of higher caustic soda prices. Winchester earnings are expected to decline compared to the first quarter due to normal, seasonal reductions in demand, but they were improved compared to the second quarter of 2007. Now more detailed look at the business segments beginning with Chlor Alkali. Chlor Alkali products earned $67 million in the first quarter, which includes $16.7 million contribution for the Pioneer operations. ECU netbacks as I mentioned earlier were $590 million in the first quarter of 2008, which compares favorably to the first quarter of 2007 ECU netbacks in the Olin Systems of %500. The operating rate in the quarter was 82%, which reflected a number of issues that I will discuss in a minute. Shipment volumes increased 50% year-over-year due to the inclusion of Pioneer. However, on the pro forma basis including Pioneer volumes -- volumes including Pioneer, volumes would have been down 11% in the first quarter of 2008 compared to the first quarter of 2007. This reduction in volumes resulted from lower levels of overall chlorine demand especially by Vinyls customers. During the first quarter we are experiencing a number of unplanned outages that negatively impacted our operations and affected our ability to service our customers in a timely manner. At both the St. Gabriel, Louisiana and McIntosh, Alabama plants tornadoes disrupted the operations of our electricity suppliers and prevented us from operating. Our plants did not suffer any significant damage. The McIntosh facility including Sunbelt experienced a three day full outages as a result. We also experienced several disruptions electricity suppliers at our Niagara Falls New York facility due to cold weather and finally we experienced and almost continuous disruption and our Becancour Canada facility due to consistent and heavy snow which limited our ability to transport finished products to customers or to receive returning railcars. These issues ultimately let to the force measured declaration for caustic soda in February. The various work allowance we have – we were forced to employ reduced first quarter earnings by approximately $2 million. We have experienced a steady improvement in our operating rate during the month of April and we are currently running in the mid to high 80% range. While chlorine demand has improves in the second quarter from the low levels of the first quarter we are continuing to see some weakness across a variety of customers and do not expect a significant pick up from bleach until May. Weakness in chlorine demand is putting pressure on chlorine pricing. We expect to see our second quarter ECU netbacks to decline compare to the first quarter due to this weakness. Weakness in chlorine prices and higher freight cost are more than offset stronger caustic soda prices. While we do expect caustic soda prices to improve in the second quarter of 2008 compare to the first quarter we expect to realize additional benefits from the price increases, which were announced in the first quarter -- in the third quarter. The pricing in many of our caustic soda contracts is based on published indices, which were slow to reflect the first quarter price increase announcements. This will delay the implementation until the third quarter. In addition due the nature of many of our contracts to recognition of price increase lags price announcements. As a result some of the $60 per ton caustic price increase announced in last week will not be reflect until the first quarter of 2009. Taking into account all of these issues we currently expect ECU netbacks in the third quarter of 2008 to improve compared to the second quarter. Finally, we recently announced a $100 per ton price increase for bleach and a $10 per ton price increase for hydrochloric acid. These increases impact approximately 15% of the ECU’s produced and sold and represent an additional $10 to $15 of sales value for all ECU’s produced. These are not reflected in our projected netbacks. Our first quarter of 2008 results included approximately $5.5 million of realized synergies despite the unusual operating conditions we have experienced. During the quarter we announced plans to shutdown the production operations of the acquired Dalhousie, New Brunswick or Canada facility. These actions will generate $8 to $10 million of annual cost savings and was contemplated in our earlier projections of the Pioneer synergies. We currently believed the production shutdown will be completed by the end of the second quarter and the cost saving will contribute to the third quarter results. We are now optimistic that we will exceed the $35 million estimate of annual synergies by at least $5 million. During the quarter we continue to experience increases in cost, freight cost per ECU increased 35% from the first quarter of 2007 to the first quarter of 2008. We also experienced increases in electricity cost. On a pro forma basis assuming that we had owned the Pioneer operations in both the periods, electricity cost increased over $3 million year-over-year, these increases that were driven primarily by higher natural gas and coal prices. The trend in both of these cost makes the manufacturing and logistics optimization actions we’re taking as part of Pioneer integration all the more critical. Finally, we continue to make progress on our St. Gabriel conversion and expansion project approximately 55% of our first quarter capital spending as for this project, which is expected to reduce annual operating cost beginning in 2009 by approximately $25 million. The project, which will require $120 million of capital spending in 2008, is expected to come online in early 2009. Now Winchester, Winchester’s first quarter earnings of $10 million represents a record first quarter for Winchester and reflect a combination of higher selling prices and improved volumes, which were partially offset by higher material and commodity prices. Winchester experienced improved volumes to both law enforcement and military customers, which reflects the contracts that were awarded in 2007. Winchester earnings in the first quarter of 2007 were $8.1 million; first quarter Winchester sales were $110.8 million, which also as a record for the first quarter and 11% higher than the first quarter of 2007 sales. During the first quarter Winchester and its tow major competitors all announced additional price increases to be effective at the end of the second quarter. These increases are directly reaction to the continued escalation of the prices of both copper and lead. Since the beginning of 2007, the spot price of copper has increased from $3.03 per pound to approximately and $3.90 per pound and over the past 12 months of price of lead if more than doubled. This represents 12th price increase for our product since prices for copper and lead began increasing from 2004. While Winchester is not experiencing the decline in overall demand from commercial customers as a result of the price increases. We have begun to experience some customer reactions. In our products we have seen a migration from a higher quality, higher performance products down to more standard products. Winchester has also experienced weaker results in its industrial products line which primarily serves the construction industry. On the military side, Winchester recently confirmed orders for the third and fourth deliveries under the United States Army's small caliber ammunition, second source contract. These orders which totaled approximately $60 million call for deliveries of 5.56 millimeters, 7.62 millimeter and 50 caliber ammunition through 2010 and represent approximately 30% increase in revenue from those being experienced in 2008. We continue to work hard to reduce the cost in this business during the first quarter of 2008 Winchester announced plans for relocate approximately 100 military packing jobs from East Alton to our facility in Oxford, Mississippi. This relocation which is expected to be completed by the end of the third quarter of 2008 will likely generate annualized cost savings of approximately $2 million per year. Based on first quarter Winchester results and our second quarter outlook for the business, we now see the opportunity for Winchester’s 2008 financial results to significantly exceed 2007’s results. Our first quarter results demonstrated the benefits of the acquisition of Pioneer that was completed in the third quarter of last year. We are realizing the expected synergies ahead of schedule and have the actions in place that will allow us to exceed the $35 million with forecast when the acquisition was completed. The reduction in pensions cost that will be discussed in more detail a few moments also confirms that the pension contribution strategy and plan redesigned, we have followed over the past several years. I believe the pieces are now in place for the continued solid results through 2008 and I will turn the call over to our Chief Financial Officer, John Fischer, who will review several financial items with you.
John Fischer: Thanks, Joe. Selling and administrative expenses increased 10% or $2.9 million during the first quarter of 2008 compared to the first quarter of 2007 all of the increases attributable to the inclusion of the Pioneer operations in our first quarter 2008 results. As a point of reference Pioneer reported SG&A expenses in the first quarter of 2007 of $9.3 million compared to $3.9 million included in our 2008 quarter. Legal and legal related expenses were $2.9 million lower than the first quarter of 2008 and the combination of defined benefit and defined contribution pension expenses declined by $3 million. These expenses were partially offset by higher incentive expenses which were primarily the results of mark-to-market adjustments on stock based compensation. Corporate and other expenses in the first quarter of 2008 declined $8.7 million from the first quarter of 2007, primarily due to lower defined benefit pension plan expense, lower environmental expenses and lower legal and legal related costs. These were partially offset by higher stock based compensation and defined contribution pension plan expenses. First quarter 2008 environmental investigatory -- and remediation expenses were $5.1 million compared to $6.1 million in the first quarter of 2007. These charges relate primarily to remedial and investigatory activities associated with former waste sites and past operations. We continue to believe that full year 2008 charges for environmental investigatory and remedial activities will be approximately 25% lower than the full year 2007 expenses. Total company defined benefit pension plan income was $3 million during the first quarter of 2008, compared to expense of $7.4 million in the first quarter of 2007. This year-over-year improvement reflects the impact of the $100 million voluntary contribution made in May of 2007, favorable investment returns earned in 2007 and 25 basis point increases in the discount rate used to value liabilities. The impact of the plan freeze for salaried and non-bargained hourly employees that became effective January 1st, 2008 and an increase in the amortization period for actuarial loses. This $10.4 million decline in defined benefit pension plan expense was partially offset by higher defined contribution pension plan expenses of $2.3 million. All salaried and non-bargained hourly employees in addition to all employees hired after January 1st, 2005 were participating in the defined contribution plan during the first quarter of 2008. During April, approximately 200 hourly bargained employees Chlor Alkali business agreed to convert from a defined benefit pension plan to a defined contribution plan. This conversion which will result in a curtailment charge in the second quarter reflects the continuation of our strategy to reduce the risk associated with our defined benefit pension plan. Based on the current funding level of plan, the makeup of the plan assets and the participant demographics, we do not believed any additional contributions will be required and only the worse case scenarios we can model our additional contributions required and in those cases it is not for at least five years. The tax rate for continuing operations in the first quarter of 2008 was 36.7%, which is inline with our full year 2008 projected rate of 36% to 37%. The first quarter rate reflects the impact of the Canadian operations we acquired in the Pioneer acquisition, the income of which is not eligible for the domestic manufacturing deduction under the Jobs Creation Act in 2004. Now turning to the balance sheet cash-and-cash equivalents at March 31st, 2008 were $276 million compared to $282.8 million at March 31st, 2007 and $332.6 million at December 31st, 2007. Cash-and-cash equivalents are forecasted decline during 2008 as a result of the forecasted capital spending including the Saint Gabriel project. During the first quarter we repaid $9.8 million of debt which was made up of industrial and environmental exempt bonds and the final redemption of the Pioneer convertible debt. With these actions Olin does not face any additional debt repayments until December of 2011. During the first quarter our investment in working capital increased by $62 million primarily due to the seasonal inventory bill that occurs in Winchester. We expect an additional increase in working capital during the second quarter of 2008 again driven by the Winchester business. We expect these increases to be liquidated by year end. Capital spending during the quarter was $31 million and as Joe mentioned earlier 55% of that spending was in support of the Saint Gabriel conversion and expansion project. As we discussed in our fourth quarter earnings call, we expect full year capital spending to be in the $200 million to $210 million range reflecting the impact of the Saint Gabriel project. The majority of the 2008 capital spending is expected to occur in the second and third quarters. Depreciation expense in the first quarter of 2008 was $17.3 million and full year depreciation is projected to be approximately $70 million. The completion of the Saint Gabriel project will increase the annual depreciation by approximately $10 million. On April 24th, Olin's Board of Directors declared a dividend of $0.20 per share of Olin common stock. The dividend is payable on June 10th, 2008 to shareholders of record at the close of business on May 9th, 2008. This is the 326 consecutive dividends to be paying by the Company. Before we conclude let me remind you that throughout this presentation we have made statements regarding our estimates in future performance. Clearly these are forward-looking statements and results could differ materially from those projected. Some of the factors that could cause actual results to differ are described without limitations and the risks factor section of our most recent Form 10-K and in our first quarter earnings release. A copy of today’s transcript will be available this afternoon on our website in the investor section Calendar of Events. The earnings and press release and other financial data and information is available under press releases and operator we are now ready to take questions.
Operator: (Operator Instructions) Your first question comes from Don Carson with Merrill Lynch. Please proceed.
Donald Carson – Merrill Lynch: A couple of Chlor Alkali questions. John, if you can just talk a bit about that the lags on pricing, I think you had mentioned that due to some newsletters not -- I guess you got some links in you contracts to various industry publications, so what exactly was the lag from the $80 increasing in Q1 and it was mentioned that the $60 increase announced last week will be I think – did I hear that right won’t be implemented or realize until Q1 of next year just wondering what the delay is there?
John McIntosh : Don, first let me talk about the delays in recognizing the first quarter increases typically our increases that are driven of indexes will look at the number published at the end of each month of a quarter for to determine pricing for the subsequent quarter and the $80 costing price increase that was announced in February was really not reflected in the end of February indices in several cases, and didn't really show up in any substantial way until the end of March. So that delay in the recognition of that price increase as an impact in our ability to move pricing in the second quarter, but it just pushes that ability to recognize that pricing opportunity into subsequent quarters. Your second question about resets, our caustic contracts tend to be a little different in nature than chlorine contracts, caustic contracts tend to have annual reset mechanism and them and we have some of those both ours and ones we acquired through the Pioneer transactions and so as a result of that contracts structure those annual resets will obviously occurred at the beginning of 2009 and some of the caustic price increase, most recent one anyway will be delayed and impacting our numbers until we get past that reset target date.
Donald Carson – Merrill Lynch: So, John when prices increases in the third quarters. Is that the last the price increase you can get for the year then on caustic soda?
John McIntosh: Not in all cases, no in some contracts where we have these reset mechanisms that could be the situation, but those aren’t prevalent in every contract so --
Donald Carson – Merrill Lynch: And in what percentage of your overall contract would have these are not have these reset mechanisms.
John McIntosh: It’s not a large percent in terms of number of contracts that we have and it’s typically -- and just the caustic contracts.
Donald Carson – Merrill Lynch: And then turning to the cost side can you talk a little about power, I mean if you -- can you give us a breakdown now post-Pioneer, how much of your power you are generating from co-gen using natural gas versus how much is purchased utility power and then on the freight side, I know you gave some year-over-year data but can you sort of talk about, dollar per-- kind of dollar per ECU basis, perhaps, what those change have been and I know that the industry has been meeting with the service transportation board, I mean are you expecting any relief or is freight just going to be ever escalating here?
John McIntosh: In terms of power we do not -- we did not before, nor did Pioneer do any co-generation in both companies and now are the resulting combined business, buys all of its electricity from utility suppliers and there is no co-generation done.
Donald Carson – Merrill Lynch: But you have a breakdown of how much in natural gas fired versus and would pass through fairly quickly versus how much is, would not pass through as quickly?
John McIntosh: Yes, we do before the combination Olin was predominantly a coal fired energy dependent company based on the utilities we bought from and Pioneer had a predominance of natural gas in terms of their fuel mix. When you put the companies together that the four the top four fuels sources are coal, natural gas, hydro and nuclear and those are relatively comparable in terms of percentage quantities and so we feel like the portfolio is very balanced and is improved as a result of the acquisition that we made in terms of lessening the dependence from Olin's perspective on coal and from Pioneer perspective on natural gas. In terms of freight we have provided in our last earnings call a base line in our freight number on an ECU basis. What we’ve said in the comments is that we saw on approximate 35% increase in freight on a year-over-year basis from looking at the first quarter and I would say that looking at the second quarter we expected to see a similar increase in freight rates. The industry as well as Olin have done working with the freight issue including testimony in front of the SPV recently. I wish I could report that I was confident that there was -- in the end to escalating fright rates inside, but I don’t really believe I have that comfort level now it’s important to realize in our system that every one of our plants is captive to one and only one rail provider. So obviously, with only one provider there is a complete lack of any competitive opportunity to try to drive freight rates lower. So, we will continue to work the issue and it’s a fair amount of importance to us in the industry in general.
Donald Carson - Merrill Lynch: Have you put in any surcharges in your contracts for freight so, that you can pass it along to your customers?
John McIntosh: We do. Every contract that we negotiate now it’s our intent in our attempt to separate the price of the product from the price of freight and fuel charges.
John Fischer: Don maybe I could, this is John Fischer. Could give me just the couple of mathematics here if you look that the comparison quarter-by-quarter of 2006 versus 2005. Freight cost per ECU increased approximately 15% during the year and that varied anywhere from 3% up to 18% if you look that comparison of the quarters in ’07 versus ’06 that increase was more in the 22% to 24% range. So, not only have we seen escalation, but we are seeing escalation at a sort of an escalating rate right at the moment.
Operator: Your next question comes from the line of Frank Mitsch with BB&T Capital Markets. Please proceed.
Frank Mitsch - BB&T Capital Markets: Hi, good morning if I could just revisit the contract situation on caustic soda. You are talking about resets for some of the contracts are you bumping up against the some cap on some of the contracts which is prohibiting your ability to push through to price increases?
Joseph Rupp: Frank I would characterized it has the contracts have reset mechanisms that provide a limit and how much movement can occurred during any period of time and so, with the those reset on a frequency on typically on an annual frequency and those are the limitations that we are talking about that will, will be reset at the first of 2009.
Frank Mitsch - BB&T Capital Markets: You had a situation where the industry was push through a $75 per ton price increase on caustic soda in the first quarter and obviously you don’t realize all of that right away traditionally that you realize up to a half in that quarter and then the balance in the following quarter and then it’s the then for the second quarter, the industry announced a $50 caustic soda price increase and then subsequently announced an additional thirty price increase for the total 80. So -- am I -- is the assumption that for the second quarter part of that the 80 is off the Board so you are getting part of the 50 and then the balance you are going to be getting 3Q and 4Q and then because -- if this has escalated your overall increase number that’s why we are not seeing any of the 60 or perhaps $65 Q3 increase until 1Q ’09.
Joseph Rupp: Yes, sir. That's correct.
Frank Mitsch - BB&T Capital Markets: All right terrific. Can you talk a little about the import environment of a caustic soda, are you seeing any -- with the escalation in a pricing are you seeing the import window open up, can you comment on that and can you comment on at what impact you believe the Shintech expansion will have on the market place?
Joseph Rupp: In terms of imports we have really not seeing any increased import activity into the U.S. either on the West Coast or on the East Coast and quite honestly although the last time this situation occurred where there was this significant and differential between U.S. pricing for caustic and pricing another geographies of the world. We did see an increase in imports at that point of time, but haven't seen that yet and I can only save it that’s continuing to be impacted by currency, the currency situation and the weakness – the weakness of the dollar and operating problems in the Far East as well in Europe, and so we’ve just not seen in yet.
Frank Mitsch – BB&T Capital Markets: In Shintech.
John Fischer: The other question with Shintech. Our latest information is that Shintech startup will occur sometime late in this quarter and that material will be available from their facility, during that period of time. We’ve really not seen any impact at almost at the same time during the same quarter anyway that they are bringing capacity on. Oxy has just announced the conversion of their plant and to ask from sodium hydroxide to potassium hydroxide yielding a significant net reduction in sodium hydroxide capacity. So, that coupled with the fact that we see ever increasing caustic soda demand, from South America leads us to forecast that the Shintech startup contrary to what was thought at, historically anyway we will not -- we have very minimal impact on the caustic market in the U.S.
Frank Mitsch – BB&T Capital Markets: All right great, and then lastly just coming back to the various price increases and I understand that chlorine prices are down, but I would imagine if chlorine prices are down roughly half of what caustic prices are moving up and with a sort of scenario of a slow domestic economic, but not recessionary global environment, is there any reason to expect that as we exit 2008. The industry is not in a better position then when we exited 2007?
John Fischer: We believe that to be the true Frank, that we the industry will be stronger at the end of this year than we were coming into this year.
Operator: Your next question comes from the line of Christopher Butler with Sidoti, please proceed.
Christopher Butler - Sidoti & Company LLC: Sorry, if I missed it at the front end. Missed the first couple of minutes of the call but, the costs associated with the interruptions in the quarter. You have take that at $2 million, could you give me an idea of, what that $2 million represent. Is this just sort of getting things back online that sort of thing?
Joseph Rupp: Really -- the impact, the $2 million is a measure of, production mix. In other words we produced, ECUs at it location that may not necessarily have been the lowest cost for us and that was driven by, operating problems and at a location where preferentially we would have like to produce, but I think the $2 million may it will, I’ve been conservative because other impacts that occurred could have been, logistics related and those would have really been, disguised by some of the net back change from a quarter-to-quarter basis.
Christopher Butler - Sidoti & Company LLC:  Now, associated with the interruptions as well -- I would have to assume that they were sales that where loss any, can you quantify that for us at all?
Joseph Rupp: We assumed -- that $2 million number assumes no sales lost, because the operating rates for the quarter we are in the low 80%. So, in our assumption was we didn’t lose sales as a result of any of the impact.
Christopher Butler - Sidoti & Company LLC: And shifting gears to Winchester you seem to indicate that, you’re non-military -- there is a shift in volumes from some of the premium ammunition down a little bit. I assume that -- in that shift that the low grade ammunition was the something that that Olin supplied. Are you seeing that go on as well throughout the full chain of the quality ammunitions?
Joseph Rupp: We are seeing in a commercial area Chris, and primarily in the target shooting loads as where we are seeing at this point in time and though the reason we point it out is that, there has been significant price increase that have been taken and we have always been concern what’s going to happen with the consumer and the reaction to consumer is he’s still shooting, he is just shoot in a little bit lower -- just a little bit lower grade of product.
Christopher Butler - Sidoti & Company LLC: I apologize there was definitely a confusing question that I just asked, but I guess what I was getting at are you seeing that there are customer that are kind of dropping of the bottom of Olin to producers that produce ammunition even lower grade than you do?
Joseph Rupp: No. In fact Chris, I think we stated that volumes in Winchester in the first quarter of 2008, we are higher than they were in the first quarter of 2007.
Christopher Butler - Sidoti & Company LLC: And do you have that number?
Joseph Rupp: We never give an out volume as an absolute number, but absolute numbers were higher in ’08 then they were in ’07.
Operator: Your next question comes from the line of Mike Judd, with Greenwich Consultants. Please proceed.
Michael Judd - Greenwich Consultants: Question about some of your corporate items, at least your outlook for the June quarter. Can we use the first quarter run rate for pension, environmental and other cooperatives, pretty much the run rate – on a quarterly basis for the rest of the year?
Joseph Rupp: I would make two comments on that. I mentioned in my remarks that we would have the curtailment charge in the second quarter associated with the conversion of some employees from the defined benefit plan with defined contribution plan that will raise pension expense in the second quarter versus the first, and then after that I would say the first quarter is a good model for the balance of the year. If you do the math, and what we told you on environment or what we said it would be down year-over-year about 25%. That would suggest that the first quarter is a little lower than the average we would expect for the year and therefore we would expect a little bit of an increase in Q2 through the balance of the year.
Michael Judd - Greenwich Consultants: What about the other corporate and unallocated?
Joseph Rupp: I think what you saw in the first quarter representative of what you should see with the balance of the year.
Michael Judd - Greenwich Consultants: I think you mention that you that -- the working capital would be a use of cash in the second quarter, do you have a sense of how big is that going to be?
Joseph Rupp: Not as much as the first quarter.
Michael Judd - Greenwich Consultants: Or may be like $15 million or something like that?
Joseph Rupp: I would think that’s on a high side.
Operator: Your next question comes from the line of Edward Yang, with Oppenheimer. Please proceed.
Edward Yang - Oppenheimer & Co.: I’d like to better understand the pricing lag on the contracts again, as you realize some of the price increases you’ve announced in the past in subsequent quarters and your own raw material cost rise. How much of the cost increases will be offset just by raw materials escalation? And how much of -- what’s the effective of you -- benefit that Olin sees from some of these past price increases?
Joseph Rupp: Well we’ve – I mean, I’ll go back to our prepared comments. We’ve said chlorine prices directionally are headed down, because of the weakness in demand, we’ve said that and we typically see operating cost increases predominantly driven by electricity, which as we get into the high demand seasonal periods, we pay higher prices for electricity and we’ll also see electricity increases driven by, the rapidly escalating commodity prices of coal and natural gas, which we’re trying to get a parity with crude oil. We have said that we expect significant increases in freight, which impact our ability to have effectively pass through price increases and reduce our netback accordingly, and all of those things are -- will work against that the trend line for improved caustic pricing, which we will see as a virtue with the price increases that have been announced. We haven’t -- we don’t quantify how we expect the individual molecules to move in terms of pricing so, that’s the best I can give you in summary.
John Fischer: I think the best way to think about it is what we said in the second quarter, the cost -- the increased cost of freight and reduced chlorine prices are going to cause a slight decline in ECUs, which mean that is going to more than offset the increased price of caustic. We do say that, we also expect the ECU values to improve in the third quarter, which means we expect the price of caustic to increase more than the cost of freight and the decline in chlorine, and that’s really is -- so we are seeing benefits of the price increase.
Edward Yang - Oppenheimer & Co.: Okay. And they will be mostly in the second half of the year.
Joseph Rupp: Yes.
John Fischer: Yes. That’s correct.
Edward Yang - Oppenheimer & Co.: Moving on to the St. Gabriel upgrade I understand that when the upgrade was first announced, you had a significant cost advantage because your pipeline positioned there and I understood it as that it was an opportunity for you to take some market share, at this point, do you still think that the customers at that St. Gabriel plant will take up the volume once your upgrade is fully up in running?
Joseph Rupp: The project was initially, justified in terms of the increased capacity there is approximately 50,000 ECU’s a year of increased capacity that will come out of the new facility. Part of the expansion was the ability to sales on, or all of that expansion volume to the customers by our pipeline in that complex, and we’re working with the customers there to continue to improve or competitive position with those customers and see opportunities to in fact, move some of that incremental -- incremental output from the newly converted plan, by our pipeline to those customers that we’re currently working on.
Edward Yang - Oppenheimer & Co.: My final question is on the tax rate. Is your expectation for tax rate for ’08 to be around 36% to 37%?
John Fischer: That’s correct.
Edward Yang - Oppenheimer & Co.: Okay. Did that changed from the last quarter John?
John Fischer: I think we have one point set 35 to 37.
Operator: Your next question comes from the line of John Roberts, with Buckingham Research. Please proceed.
Operator: Mr. Robert, your line is open.
Joseph Rupp: I think we lost him.
Operator: At this time, there are no further questions. I would now like to turn the call back over to Mr. Joseph Rupp, for closing remarks.
Joseph Rupp: We want to thank you for joining us and we look forward to reporting the results of our second quarter in late July. Thank you, and have a good day.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect, and have a good day.